Operator: Welcome to the Swiss Prime Site Full Year 2025 Earnings Conference. [Operator Instructions] I will now hand you over to your host, Marcel Kucher.
Marcel Kucher: A very warm welcome to everyone on the screens. Welcome to Swiss Prime Site here on the 34th floor of Prime Tower in the heart of Zurich. It's a great pleasure to have you here. I'm here joined by Anastasius Tschopp today. He's the Deputy CEO of our group and also the CEO of Swiss Prime Site Solutions, and he will talk later a little bit more about our asset management operations. Before we start with the numbers and the actual result, let us step back a little bit and look at where we stand today. Over the last couple of years, we have been building on our Swiss Real Estate platform with the two legs of our own property portfolio and the asset management. And today, we stand here very proud of what our platform has become. Over the past years, we have built not only this platform, but we have built it in a very synergetic way, that performs very strongly, and we'll show you today why this is the case and where this comes from. And more importantly, it also performs very synergistically across the cycle, building on the resilient Swiss economy. In today's cycle, we benefit from a very supportive financial conditions with record inflows of new capital. We have seen this in particular in our asset management with more than CHF 1 billion new money and a record high of CHF 14.3 billion in assets, driven by a very, very strong organic growth. We have also seen that in terms of the transactions that we could do, all the acquisitions that we could do, in particular, in the asset management in the residential area, where we have a structural undersupply here in Switzerland, like in many other countries as well. On the other side, and managing through the cycles with our own property portfolio, we have delivered development over the last couple of years, more than CHF 40 million in top line. And we have hence been very important part of building high-quality buildings here in Switzerland for the commercial sector. Again, this year, we have shown that also in the cycle with low rates and less inflation, we can drive like-for-like growth with a very, very strong 2% growth for this year. And hence, our platform is a true flywheel, creating momentum that reinforces itself and together and building on the strong foundations we will continue to thrive in the Swiss economy. And with that, more strategic outlook. We want to go into kind of the key elements that we want to present today. You see here all the details, but I want to summarize that into four key takeaways that I think you should remember once you leave this room. The first one is, we are growing. We are growing with a 2% like-for-like growth in our own portfolio. We have reduced our vacancy to 3.7%, a record low for Swiss Prime Site, showing how strong we perform in all of our properties. And we're also growing in the asset management sector. You've seen 18% top line growth last year. So very strong momentum all organic and fueled by the strong capital markets that we see. That will bring me to the second point. We are attracting new capital. We have done a capital increase for Swiss Prime Site in spring of last year, CHF 300 million, which are fully invested today. We have been able to attract CHF 1 billion in new money, an absolute record high for Swiss Prime Site Solutions in our asset management division. And we have been able to apply that in very attractive acquisitions throughout our -- the two segments. That brings me to the third one. We are investing. We have truly built a platform that has access to the most attractive transactions in Switzerland. Having done more than CHF 550 million in acquisitions for our own portfolio. And in addition to that, CHF 1.7 billion in acquisitions and transactions in the asset management sector, getting really access to the right transactions even in a market that is very flourishing. And fourth key takeaway, we are becoming more profitable and efficient. And you see that in a 3% up from a comparable EBITDA, up to CHF 408 million for that year. We see it in a more than 30% growth in the profit for Swiss Prime Site Solutions. And you see it also in the dividend proposal that we make, which is CHF 0.05 higher than in the previous year. So we're also sharing that benefit with our shareholders. Going from these key highlights, let me step back a little bit and look at this key elements here, how that performs in key financial figures. You've seen that in the press release and in our presentation, we have a slight decrease in the rental income only due to the fact that Jelmoli building went offline together with a couple of other buildings where we lost about CHF 14 million in top line last year. On a like-for-like basis, as I mentioned before, we have seen a very strong increase of 2%. In the asset management business, as I mentioned before, a record level of almost CHF 85 million in top line, 18% growth over last year, mostly driven by the organic growth and the money that we could attract to a small degree, about 1/10 of that driven by the full year consolidation of fundamental, which we acquired in April of 2024. EBITDA consolidated on a like-for-like basis 3.4%. As I mentioned before, in absolute numbers, minus 1.2%. But given the lower interest, in particular, as well as lower taxes, that translates into a profit before revaluation and sales of 1.3% to an also attractive level of almost CHF 320 million. On a per share basis, that translates into CHF 4.22 unchanged over the last year in terms of FFO I per share, FFO II per share we see an increase of 6% to CHF 4.17 and an EPRA NTA that is up 2% to CHF 101.40, underlying the very attractive real estate that we have, which also have seen a very positive revaluation last year. On what type of market do we achieve these results? And I think I want to leave you with four key elements here. The first one is on the transactions. We have seen last year a very high level of activity on the base of a very broad institutional buyer space. This has been not only the case in residential, but also in the commercial. We see yield compression in many of these respects. And we see, in particular, also an increasing number of larger assets being on the market which is attractive for us as a commercial player with our own portfolio. Second key takeaway that I want to leave you with is we have a continued polarization in the demand on the letting side. We see a huge demand for additional space in the core segments where we are, which means in the inner cities, this is where life is where people like to be, where people like to work. And that is contrasted by probably significantly less activity, a little bit further outside which is becoming more challenging what we see. The third key takeaway is on the valuations. We've seen for ourselves an increase in valuation of 1.7%, roughly translated into some CHF 220 million. And we see that across the board with discount rates going a little bit lower, but also the effects that we see from the positive growth in rental income on a like-for-like basis, which have an impact, obviously, on the valuations. In terms of our own book, we have been able to do our sales with roughly 5% profit, which is exactly where you want to be -- being at the market, but obviously on the conservative side in terms of the valuation. And finally, fund flows. We've seen a record year for ourselves. I mentioned that before, altogether, CHF 1.3 billion across our platform, CHF 300 million for our own capital increase in February and roughly CHF 1 billion in new assets for the asset management. Pension flows is an important element for that. We see here large inflows from the pension flows, and we also see higher allocations to real estate, which is supporting the entire market. Now for the next couple of minutes, let me dive a little bit deeper into the P&L and any individual results that we have from a finance perspective. Let me start with the top line and with the resilient rental income and the strong asset management growth that I've mentioned before. We've seen real estate income from rental decreased by 1.4%, as I mentioned before, that was all due to the fact that Jelmoli went offline together with Fraumunsterpost had an impact of roughly CHF 14 million, and you see that we were able to compensate most of that with our own growth, like-for-like growth as well as the acquisitions to a smaller extent. Second element I wanted to mention is the asset management, 18% plus over the last year, a record level of CHF 84 million roughly in top line. This is all due to the further increase of the funding flows that we have seen and then hence, the transaction that we could do following that. And to a very small degree, also on the full-time consolidation of the fundamental for the full year, as I mentioned before. That is contrasted obviously by the last elements that we see from our focus on the pure real estate platform with now rental income from retail only at CHF 10 million, which is the last 2 months that we've seen for Jelmoli. And also the other income coming down significantly, which was also related to the retail business. Hence, overall, about 17% lower total operating income, but what is more important to me, because this is all what we wanted to do with the focus on our real estate business on a comparable basis. Hence, excluding the effects that you have through the closing of Jelmoli, we have been able to grow 2.6% over the entire platform to a level of CHF 540 million for the last year. If we flip the side and look at our cost base, we see a similar positive picture with a huge drop in the operating expense. However, the majority of that is due to the fact that we continued -- discontinued the operations of our department store. And hence, again, I would to look at the lowest number here, so at the lower -- number at the bottom here where we have been on a comparable basis, hence, excluding all the effects that we have from closing the department store, a lower cost base of 2.8%, showing how much we can drive synergies across the platform. One of the key elements for that will be the real estate costs. You've seen before, the absolute number in terms of rental income reduced by roughly 1.4%. We have been able to decrease the cost of real estate of 5.4%, and that shows we've become much more efficient here and this focus on the buildings in these core locations on the slightly larger buildings that we have been pursuing over the last couple of years has also a positive effect here in terms of the efficiency and the cost ratio. Now if you bring this together, then we see that the positive revaluations that I've mentioned before, I will go into details a little bit later on this where this came from, then coupled also with the sales from properties where we had a gain of roughly 5% over the last value, leaving us with an EBITDA in absolute terms of roughly unchanged, CHF 410 million. But again, for me, the more important takeaway here is the number at the bottom. So, on a comparable basis, so excluding kind of the last time effect that we have from our Jelmoli operations, we see in a comparable increase of the EBITDA of 3.4%. And hence, again, amplifying what I've mentioned before here, the strength of the platform and how we can become more efficient going forward. Now, if you go further down from EBITDA on an FFO basis and the EPRA NTA here, we keep an unchanged Funds From Operations I from per share of CHF 4.22. In absolute numbers, you see that we see an increase of 3.2% here. But given the higher number of shares, this translates then in an unchanged number of CHF 4.22, showing that we have been adding value to our capital increase already in day 1 of the capital being employed, and this will only become better over the next years. On the intrinsic value per share. Here, you see a 2% increase comes to a large degree, from the revaluation effect that we have seen and a slight reduction in leverage, which I mentioned in a minute. So, what I want to do now is provide you a little bit more details on the two key drivers on the top line and then a couple of pages on the balance sheet as well. Let's start with the top line and obviously, the most important element is our rental income. You see here the composition on how we end up with the roughly CHF 455 million. We had seen last year in 2024, really strong sales with a strong tail end here. We sold in 2024, CHF 330 million, really focusing our portfolio on our key locations and on the key cities in Switzerland. Now this obviously had an impact then in 2025 in terms of the top line. And you've seen from that sales, we also sold about CHF 15.7 million in top line. Then what is very important to us and the key focus is what can we do with our existing portfolio. You see that here in blue, with an increase of roughly CHF 8 million, and that translates and you see this here in more detail in the 2% like-for-like growth with roughly 1.6% coming from real like-for-like growth, speaking from really changes in the underlying rent and in the rental contracts that we could actually sign coupled together with a further vacancy reductions, which has an impact on like-for-like of 4.3%. A small number still comes from indexation, 0.4%, and I would expect that to stay at that level given that we have pretty much zero inflation here in Switzerland or even come down a little bit further. Then the redevelopments, I mentioned that before. This is mostly Jelmoli, but also some elements of Fraumunsterpost. These are the buildings that went offline, temporarily offline. I think that's an important addition to that. We will renovate them, and I'll provide you more details on that when they will go online again in just a minute. The acquisitions that we did, the CHF 550 million that we acquired had not yet a full effect, given that a large part of it was only closed in December and the rest April and August. Hence, you will see much more impact of that going forward. In 2025, we had an impact of roughly CHF 5 million coming from that. And then we still have the completion of new builds, which is roughly CHF 9 million which, to a large degree, translates to Alto Pont-Rouge in Geneva as well as the buildings in JED in Schlieren, as well as in BERN 131. A word on the asset management side as well. How do the 18% realized that we've seen in top line growth last year. You see here the management fees have been growing by roughly 15%. So these are the underlying fees that have a very recurring character. The same recurring character is on the construction development side, slight reduction, given the fact that last year, we completed a little bit less construction than we did before. And then obviously, on the non-recurring side, on the transaction side, that is the mirror of the high net new money that we could attract of the CHF 1 billion, which were invested in about 120 transactions. As I mentioned before, CHF 1.7 billion roughly in transaction volume that we did in the asset management. An important figure for us is, we want to build here a stable asset management operation that mirrors kind of the stability that we have on the real estate side. And hence, an important number for us is that we remain at roughly 2/3 of recurring fees, and that was also a case in last year despite the very positive market at 66% recurring income. What you can also see here in the numbers is the cost base has been stable or even decreasing slightly. You see that in particular here on the personnel cost, which are the most important cost base, these are the elements that we can still can benefit from the integration of Fundamenta. We mentioned back then that we expect some CHF 8 million in synergies, and we have now been able to fully realize those. And you see that in the number here that EBITDA grew by significantly more than the top line, 31% exemplifying here the stability and in particular, also the scale effects that we have. That translates into an EBITDA margin, which we believe is very attractive of about 66%, so about 2/3 percent, and hence, shows the power again of our platform and doing things together. Two words on the balance sheet. The first one is obviously on our real estate portfolio, which has reached new heights with about CHF 13.9 billion, so almost approaching the CHF 14 billion mark. We started with roughly CHF 13 billion. We talked about the sales. I will provide some more details on that just in a minute, of CHF 130 million, then the CHF 550 million acquisitions that I mentioned before. Total investments in our developments was CHF 222 million with a strong focus, obviously, on YOND and Jelmoli. And then the valuation result that we mentioned before of the 1.8% roughly, providing us then with a total of CHF 13.9 billion. Maybe one word on the revaluation. We've seen given the strength of the Swiss market, a slight reduction in discount factor in real terms about 2 bps, in absolute terms, a little bit more, because our valuators also reduced the expectations on the inflation by 25 bps. The latter has practically no impact on us, given that we have a very large share of our property being fully indexed. Hence, we can pass on any indexation and any inflation. The latter one does have an impact. And hence, you see it's probably about 50-50 in terms of the revaluation result in terms of what we -- what stems from the discount factor reduction and what stems from the like-for-like growth and exceeding here the expectations our valuators had in terms of the closings of new contracts. And then the last element on the balance sheet is our financing, two pages on that. We have been able for the last year to place almost CHF 800 million in new financings. And for us, as a very important highlight, we were able to access the Eurobond market for the first time. We placed in September, a EUR 500 million Eurobond at a very attractive spread, roughly mimicking the spreads that we could reach here in Switzerland. What was very supporting for that placement and made us really feel good about this market is, we were able to attract EUR 4.3 billion in demand at that interest rates that we had. So we had an oversubscription of about 8x, which is very high even for the euro market and shows just the incredible strength of our name and of our platform in Switzerland, but also abroad. Despite the fact that we have a large degree of our financing with fixed interest rate. You see that here at 86%. We have been able to reduce the average interest rate significantly from about 1.1% that we had in the previous year to 0.94% if we are precise that is, we believe, a very attractive as well. Overall, given the financing level that we have here, that translates into an LTV net for the Real Estate segment of 38.1%, which is slight reduction of 0.2 percentage points over the last year. Well, we continue is that we have a very broad set of potential financing opportunities and that Eurobond only added to that, to make sure that in any position, we are always able to refinance ourselves. You see that here, about 50% is financed through unsecured bonds, 40% of that is roughly in the Swiss market, 10% is in the euro market. We have still access to the convertible bond markets. We have very good partnerships with our core banks, 13 banks in Switzerland for the unsecured loans, and we continue to have the secured loans with the insurance companies of about 11% of our overall portfolio. Moody's rating A3 stable, and that provides us with this access that we just mentioned before. In terms of the liquidity, we have a very high liquidity reserve of CHF 1.1 billion roughly. This is fully committed, so we can exit it at any time. And that provides us with enough liquidity over the next couple of years. So we don't have to go to the market, but we will, of course, access the market in order to stay an active player here. That's for the numbers and for the financial numbers. Let me spend a couple of minutes now to dive a little bit into more details of our portfolio, before I hand over then to Anastasius to provide some more details on the asset management side. Let's start with the overview. And given the acquisitions that we did this year as well as the disposals, we have strengthened further our position in our core markets. So we have now close to 60% of our portfolio, in Central Zurich area, about 20% in the Lake Geneva area, with the two strong hubs in Geneva itself as well as in Lausanne for us and about 12% in Basel in the northwestern part. We have further reduced the number of properties despite the acquisitions that we did, and we are currently at 132 million properties, which relates into an average size of our properties of around CHF 100 million, which we feel very comfortable with going forward. And we already talked about the property portfolio of close to CHF 14 billion. In terms of the use, we have further strengthened our office segment, which we strongly believe in, in the core markets that I mentioned before and in the prime locations that I mentioned before with close to 50% currently, 20% retail and then the rest is spread between infrastructure, logistics, which also includes labs for us, hotel, gastronomy and a slightly reduced share of Assisted Living, which are mostly the Tertianum we have. We're still very proud of the diversification of our tenant base. We have about 2,000 tenants, with 50% spread among the top 30 tenants. Our three largest tenants still remain the same with Tertianum slightly reduced at a little bit over 5%, Swisscom at roughly 5% and Globus slightly reduced also at close to 5%. I'll talk about Globus in just a minute. Where you see this beautifully, the focus that we have taken over the last couple of years in this matrix, which is provided by our evaluator, Wuest & Partner, where we have over the last couple of years, if you compare this to 4, 5 years ago, really been able to put a really, really strong focus. More than 99% is in these highest brackets in terms of quality of the locations, and close to 90% is also in the highest bracket in terms of quality of the building, and that has been a significant shift and the basis for the strong like-for-like growth that we could achieve. I'll show you some pictures on the acquisition, so let's skip that. But you also see where we sold properties. This is still not in the core elements that I mentioned before. So we sold properties Aarau, Biel, Augst, Buchs and Brugg with a strong element on two segments. The first one was Retail, where we're still reducing in particular, in these non-core locations. And the second one was developments, where we felt that the best one is residential going forward. So what we typically do is in order to capture the value as we develop it up to the point where it has a building permit and then sell it to somebody who has a core focus on residential. Now talking about the acquisition and the fantastic buildings that we were able to acquire. And fantastically enough. It starts here from the left to the right, not only in terms of location, but also in terms of timing. We started the year in April with the acquisition of the Place des Alpes in Geneva, from SGS, just last week. SGS opened its new headquarters in Baar, which have been beautifully renovated in our building. And hence, this was a truly beneficial transaction on both sides. We were able to acquire this beautiful building. You see with unobstructed view to the Lake of Geneva, and SPS was able to find the new headquarters in the canton of Zug as they wanted. We are currently in very advanced discussion with tenants, focuses on a single tenant again, which we hope to be able to close in the next couple of months. But we also have alternative discussions on a multi-tenant solution. Typically, we would look at two tenants, which should move in later this year. Then on Prilly, in Lausanne, key tenants here: SAP, Ruag, really strong technology tenants. We have long contracts of almost 20 years. This is a brand-new building to the highest elements, not only in terms of architecture, but also in terms of fit-out and sustainability. We are right at the very busy new station of Prilly and also right at the new station of the tramway, which will open later this year. Zurich-West, we have a little bit too much fog. Otherwise, you could see it from here, the headquarters of the Swiss Stock Exchange just down here, the road. Key tenant is the Swiss Stock Exchange. It's currently a single-tenant building, but already built in a way for a multi-tenant, so that we have full flexibility going forward. And then the last one, which we could close as part of an asset swap was in Bahnhofstrasse at Zurich, a beautiful building. And we being the absolute best owner, given that this was originally one building where we owned the first part already. This is the ones that know Bahnhofstrasse, where the Swatch Store is in. And now we added kind of the second part of that building, which provides us with many more opportunities going forward, in terms of efficiency and efficient use and space that we can offer. Fully let with key tenant rituals. If you calculate all this, and then it includes kind of the asset swap that we did in Bahnhofstrasse, you see a net yield of roughly 3.7%, which we believe is very attractive given the quality of the buildings and obviously, is highly accretive given where our actual yield is. Hence, very attractive acquisitions that we could do over the last year. One word on vacancy. You see here, if you just look at the graph, lowest ever, 3.7%. We could, in particular, sign a couple of new leases like SGS, like Banque Cantonale de Geneve, TurbinenBrau, and a couple of major extensions, EY just down here as one of our key tenants here on the Prime Tower campus, but also with the canton of Zurich, an attractive building in Oerlikon as well as the extension of Globus. I'll mention that a little bit more detail in just a minute. The 3.7% have an underlying 3.2%, which is operational vacancy and then 0.5% for strategic development. What does that mean? Those are floor spaces that we do not actively market currently because we start to empty a building so that we can do the future redevelopment. So with an underlying say vacancy of 3.2%, which is also a record low in the history of Swiss Prime Site. One word on WAULT. You see here a very even spread of the WAULT, pretty much everyone -- everything is 10%. That has a significant change over the last period. We increased our average WAULT by almost 0.5 year to 5.3 years, mostly driven by the extensions of EY, that we mentioned before, and Globus. On the Globus, I think we mentioned that during the half year already, we have a staggered extension agreement where we have 7 years for Lucerne and 8 years for Lausanne and then the 10 years for Geneva, which then also flattens kind of the profile going outwards. Then a question that usually comes, "Are you nervous about the 9% that is on the short term?" I say absolutely not. On the opposite. I look very much forward to that. We have been in good and advanced discussions with the majority of the tenants in here. And the reason why I think this is positive is because in vast majority of the cases, we see here a very positive potential for higher rents when we entered kind of the next agreement phase. Hence, no worries on that side from our perspective. Now, let me spend a couple of minutes on our three ongoing development projects. Obviously, the most important one being Jelmoli. Just a little bit, what's the current status here. We have started construction in April pretty much right after we closed the department store operations end of February. Obviously, the first stage in the construction is that you start to demolish, kind of lay open the underground structure, and that is pretty much finished by now. Part of that was also a removal of hazardous material just to provide you a little bit of an impression of the complexity of the building. The building is not actually one building, but it's four main buildings and 11 buildings, if you look also at kind of connecting buildings, together. Now everything is open, and we've taken out the opportunity over the next 2, 2.5 years to really bring this entire building, kind of, to the next century, where we will not only convert it into the office part in the upper floors, but also really address the structural elements and really catapult it into a new area. Overall, investment is going to be roughly CHF 210 million. We can be pretty sure on that by now, because we have agreed on a channel contract in September. And we expect a staggered completion starting in summer 2028. On the rental side, obviously, we still have roughly 50% pre-let. We are in very advanced discussions with some tenants. These are really top-tier tenants. We also have signed LOIs for two floors, of the remaining office floors and we see really good demand here for those. As I mentioned before, summer of '28 staggered completion date, in particular, for the offices. Hence, we are a little bit early for the real marketing efforts, and you see this here, the active marketing will start now in summer or late after the summer of this year, but kind of the premarketing, the effect, we are already very positive on that one. Second one, a snapshot is YOND Campus. Also here, we have just signed a contract with a general contractor. Investment volume remains at CHF 150 million, yielding from that, about CHF 8 million in additional top line. So you see it's also a very attractive yield on cost from this project. We have been able to sign a number of contracts already for that. One that I really like is part from Zuriwerk Foundation, which provides a real new hub here also for inclusion. The Turbinenbrau, so we continue kind of the addition of the building of brewing water leakers and now also beer in that area and a number of other signatures are pending. And hence, we are very happy in terms of how the marketing works. Also here, we have a staggered completion as of 2028. We have currently completed the garage, so the underground parking and now, we are now start building the YOND 3 construction. This is the main kind of new building. It's about 85% of the entire new development with the YOND 2, then following later on once we have also reached here our target level in terms of pre-letting. Last snapshot, Fraumunsterpost, the building in the middle of Zurich that everyone knows. Currently, we are doing a refurbishing here, bringing it also into the next century and of about CHF 30 million. Complete in here will be summer of next year. Will, in particular, have a focus on all the sustainability elements, on the heating elements, on the insulation elements, et cetera, with a sustainability certificate that we expect of BREEAM In-Use are very good. We are in advanced discussions with a number of tenants of about 2/3 of the floor space and expect that by the time this is completed, we should also have 80% plus let as usual with our buildings. And that is on track for the completion, as I mentioned here before. Two pages on sustainability, which remains a focus of ours. And I want to mention here four elements that are important to us and to me personally. The first one is, we continue with our certification process. We have pretty much everything certified in our portfolio that is certifiable. So excluding some parking spaces, et cetera. We have now 40% of our top-tier buildings that are eligible for our Green Finance Framework and that is only buildings that have a Good or Very Good or Platinum rating. We're working on that, that this will continue and the certification gives us a very strong indication on what we need to work on, and that's why this is attractive for us, not only to provide you as investors with the full transparency but also for us to provide us with an additional element of inputs on what we need to work on. A real key element that we achieved last year, and I want to jump here one page is another 10% year-on-year advancement in terms of the CO2 reduction path. You can see here, this is our linear target that we had to 2040 CO2 neutrality. We are well on track here. We are, in fact, advanced on track, and we could add here another year with a huge milestone with a further 10% reduction weather adjusted, by the way, which is important, because we do not benefit from a, say, mild winter, but we adjust for that, so that it's really comparable. Some of the key elements that we do here is obviously heating replacements and energy modernization. We also continue to work on the Green Leases here, which means we work together with our tenants in order to make sure that not only we reduce our energy consumption, but also our tenants work together with us, and we signed these in Green Leases. We work on the improvement of the energy mix and obviously, to wherever we can district heating mix, et cetera, and then obviously, the building shells, which is an important element, as I mentioned before, with Fraumunsterpost, for example, or also Globus, Jelmoli, where we focus on that as well in the renovation path. Let me go back. On two other elements, which is the circular economy element, which is a key element as well for us. In terms of our focus area, we have completed the Bern 131 project, which is a true lighthouse in that respect. You see here the embodied emissions is 7.3 kilograms. The ambitions as per the circular economy charter is close to 12 kilos. So we have been significantly below the already super low kind of ambition that we have taken for our charter. How did we do that? Well, it's mostly wooden construction with some concrete to reinforce it. We focus here on Swiss wood. So it's not wood from anywhere, but it's Swiss wood. And then obviously, the entire building is covered with photovoltaic cells so that the building actually produces more energy than what it consumes. And finally, because we want to have this really all encompassing, we have the Green Finance Framework where we refinanced almost CHF 800 million last year, under the Green Finance Framework. And for that, we build on what I mentioned before, our certificates in terms of Good and Very Good buildings that can only be eligible to the Green Finance Framework. So, with this, I would hand over to Anastasius for some additional words on the asset management part.
Anastasius Tschopp: Thank you, Marcel. Dear ladies and gentlemen, a warm welcome from my side. The next few of minutes, I will give you some details about the Swiss Prime Site Solution results 2025. As Marcel Kucher mentioned before, we grew 2025 with CHF 1 billion assets under management. We raised CHF 1 billion new money. This is more than 2023 and 2024 together. Our Real Estate transaction volume, 2025 was CHF 1.75 billion. From all these deals were 30% of market deals. So we have really good networks in Switzerland. Now I will show you the three sub pillars of the asset management part. On the left-hand side, you can see our fund management. In this fund management, we raised CHF 430 million new equity in 2025. Another highlight was our IPO with the Investment Fund Commercial in December 2025 with a premium from 10%. In the middle, you can see the sub-pillar Wealth Management or Asset Management, the products there, the investment foundation, SPR or the Fundamenta Investment Foundation. In this part, we raised CHF 590 million new equity. And another highlight in this part was we extended the contract with Fundamenta Investment Foundation by 3 years to 2029. On the right-hand side, you can see our Real Estate Advisory sub-pillar. In this sub-pillar, we gained a new mandate by around about CHF 400 million. Swiss Prime Site Solutions are the biggest independent Real Estate Asset Manager in Switzerland. Only banks and insurance companies in Switzerland are larger than us. But they have an own book of equity, we do not have that. We have more than 2,700 clients. 600 clients of this 2,700 are pension funds. Our main focus in our products, to invest 60% is Living -- housing. The last slide from my side and the key takeaways for you, the pension fund system in Switzerland are very strong. They have to invest CHF 17 billion every year, around about 23% goes in Real Estate. So around about CHF 4 billion or CHF 5 billion every year. Our market share is 12% to 15%. So we think that we can raise every year CHF 600 million to CHF 700 million new equity. We have a net immigration in Switzerland by around about 100,000 people. And the interest rates are low or going down. So you can see, the business case for Swiss Prime Site Solutions is really stable. As Marcel Kucher has mentioned before, our recurring fees are 65% the last year, and we think it will go on with this number. For growth to CHF 60 billion assets under management, as we have as target to 2027, we can benefit from the economy of scale again. Thank you for your attention, and now I hand back to Marcel.
Marcel Kucher: Thanks, Anastasius. So there's only one thing to say for me. What is the outlook? So we expect the attractive Swiss market to continue. And hence, we want to provide the guidance for next year for an FFO that further improves to CHF 4.25 to CHF 4.30 on a per share basis. We will do that with a very disciplined financing policy and remain with our LTV below 39%. We do see further potential to improve our vacancy and hence guide that we will be lower than this year, so lower than the 3.7%. And as Anastasius just mentioned, we see continued growth opportunities for Swiss Prime Site Solutions with an additional addition of CHF 1 billion AUM also for 2026. Hence, a positive outlook. And with that, that was it from our side, and we would hand over to questions.
Marcel Kucher: I think we start here, who would have thought. We start here in the room and then hand over to potential questions that we have on our stream. We do this in English today because on the stream, we have many people that are English speaking. And we realized that the simultaneous translation was not always that easy. If you feel more comfortable in asking a question in German, that's no problem. Just please do that, and then we'll try to translate as good as I can. So, where do we start? With you. Perfect, Matteo.
Matteo Villani: Matteo, Vontobel. I have a question on Slide 22, regarding the active portfolio management. Could you tell us how large is the amount that you would still say capital recycling is possible? And why did you tell in December that you will scale back the sales? Has it to do with the market environment or did not the buyer come as you wished for?
Marcel Kucher: Yes. All right. Happy to do that. Let's start with the second one. It had nothing to do with the market. I mean, the market is super strong, and we've seen that with 5% profit that we make. We will also, this year, see a number of additional transactions that we partly signed already last year. That is, in particular, the second half of the asset swap, which will only happen in 2026, because these are in cantons where the communities have a first right of refusal. So there is a gap between, kind of, when you can close that. So we expect that to close somewhere in April or something like that, for the second part. So no, this has absolutely nothing to do with the market. For us, it was important that we provide transparency that we will keep a number of the buildings in our portfolio, as we have now with the capital increase, more equity and hence a little bit more flexibility. And your first question was around whether we can further kind of suppress that in the top quadrant. Was that the question?
Matteo Villani: Like what's...
Marcel Kucher: The number of buildings are...
Matteo Villani: And in francs.
Marcel Kucher: Okay. Well, for this year, my expectation will be that we will continue to sell about CHF 250 million worth of buildings. As I mentioned before, a part was already signed last year, so about CHF 150 million was already signed last year, which will now be closed in 2026, and we have a number of additional buildings that we have in the pipeline. I think, the focus of capital recycling shifts a little bit into more, say, a regular portfolio optimization. I think with what we have done over the last 5 years, we have really concentrated our portfolio in where we wanted to be. But given the size of our portfolio, we always see opportunities where we believe we are a better owner than somebody else, or within our portfolio where we see another owner be the better owner than us. That has a lot to do also with repositioning of buildings. I mentioned that before, we always have a look also with our commercial buildings, whether they would be suited for residential. And if that is the case, then we would develop it up to a certain level, typically building permit and cost certainty with the contractor general and then sell it on the market.
Matteo Villani: One more question on the asset swap of the Bahnhofstrasse. What's the net yield of the building?
Marcel Kucher: In Bahnhofstrasse, I think it's 2.7%, roughly. Yes. Ken?
Ken Kagerer: Ken Kagerer, ZKB. My first question is to Anastasius Tschopp. And -- Okay. Whilst I see the fact that it's very easy or it seems to be very easy to raise cash in the current environment, I'm a bit more worried about the way how to deploy this cash into 2026, especially when we know that more than CHF 9 billion were raised last year and you plan to raise another CHF 1 billion and the others are also seem to be also very active. So, now comes the question. How do you want to deploy the money with good acquisitions on the direct market at the correct yield without diluting either the payout ratio or the quality of your existing products under management?
Anastasius Tschopp: Thanks for your question. No. We have a good pipeline for all products. We have some transaction done in January, good transaction and our pipeline are full for the next 4, 5 months. And we are sure we can hold the quality and the performance in the product.
Ken Kagerer: Just a small add-on for you. The fundamental contract was extended, was just mentioned. Can I expect that the margins or the costs stayed flat?
Anastasius Tschopp: Yes.
Ken Kagerer: Okay. The next question is on Jelmoli. I've just checked the full year presentation '22, and the Capital Markets Day presentation '23. And in '22, it was mentioned that the renovation costs should be above CHF 100 million. At the Capital Markets Day, it was mentioned that the renovation cost should be CHF 130 million. And when I remember correctly, Rene was very firm that this is a number he can stick to. And now I have read that we see CHF 210 million. Now comes the question. First, is the rooftop included or not already? And secondly, what has happened with the increase in the cost and what has happened, especially to the yield expectation on the construction cost?
Marcel Kucher: Yes. Happy to do that. And yes, this is the entire building, including the roof. We will have a restaurant on the roof, we will have spaces on the roof for our office tenants that they can use, and that is part of this cost. The entire roof, but that was always the case, we'll only be able to use in '33 or something like that, because we will have the until then -- until we can connect to cool city. And we, up until then meet part of the roof or the coolers, for the cooling system. But, that was always the case. That is nothing new. In terms of the cost, that we have. I think now we can be firm on that. We signed a contract. We have obviously built back everything that is internally. So, we're now back to the bone and the structure of the building. And in the course of doing so, we decided that in part, it makes sense to do a little bit more, that has elements in the atrium where we believe we can add additional floor space and make existing floor space more attractive and bringing more light in it, but that is also a parts of where we will further support the structural elements. Given the increase in rent that we see and where we are also are with the LOIs that we signed, we see purely on cost -- on yield on cost about 4%. And if you add to that, the losses that Jelmoli did over the last couple of years, you'll be more in an area of 7%, 8%. So both numbers, even just the 4%, we do believe in a location like Bahnhofstrasse is super attractive. And hence, yes, this is going to be a very valuable addition to our portfolio going forward.
Ken Kagerer: This brings me to my third and last question. What would need to happen for you to do another capital increase in 2026?
Marcel Kucher: Well, for us, the most important thing is that it needs to be accretive. And it should be accretive quickly, not in 5 years' time and with a lot of hope. And the last year capital increase, I think, was at an attractive timing because we've seen end of '24 falling interest rates. And hence, we increased our capital in a phase of falling interest rates where we still could benefit from attractive acquisitions as these falling interest rates were not yet fully reflected in the prices. And I do believe you need to see these opportunities that allow us to grow our portfolio in an accretive way, that will make us then to do another capital increase. And as soon as we see those opportunities, I think we've shown that we are quick to act on that.
Ken Kagerer: And do you see any opportunities now?
Marcel Kucher: That we'll answer once we see them.
Holger Frisch: Holger Frisch, ZKB. A question -- on the half year presentation, you presented a slide with the investment volume for SPS of about CHF 1.3 billion, broken down in CHF 200 million invested, CHF 100 million committed and CHF 1 billion open. Could you provide us with an update on the current number and the breakdown?
Marcel Kucher: Yes. The number has not significantly changed. We thought it is more useful to talk about the projects that we're currently working on. As you can see, these are roughly the numbers in terms of commitment. So the CHF 200 million, the CHF 150 million, the CHF 30 million, together, CHF 380 million or the CHF 390 million, of which about CHF 70 million to CHF 80 million is already built. So we have a slight increase in terms of the commitment, obviously, because now we signed the general contract on YOND as well as Jelmoli. The overall number has not significantly changed, but this includes kind of conversions that will only take place in a number of years. Most prominently, if you look at Geneva, now we extended the contract with Globus by 10 years. So that means the conversion project that we developed here, we still want to do it. But realistically, we'll only do it in 10 years. Hence, some of the elements moved a little bit further out.
Holger Frisch: Then second question would be on the maturity of the financial liabilities, this went down to 3.9 years, which is the lowest for the last 10 years, I think. So do you feel comfortable with that level now? Or do you have any plans to increase the maturity? And then maybe on the maturing bond of CHF 350 million in May, what are your refinancing discussions?
Marcel Kucher: Yes. Okay. A number of elements on that. Why is the majority coming down a little bit? This has mostly to do with the unsecured loan that we have with the CHF 13. And that contract still runs about 4 years, part of it 5 years. And hence, it is too early now to renegotiate that. We will do that, say, 2 years before it actually matures roughly. And hence, you'll probably see that it comes down a little bit further. Does that worry us? No. Because it's a clear maturity pipeline that we have here. We have built up now many opportunities on how we can refinance, not the least the one in the euro market, where we have seen very attractive opportunities going forward. All the rest is roughly in the same range. You've seen the euro financing where we did roughly 6 years. Or you've also seen the one that we did in January of last year at roughly the same rate. With the upcoming majority, we already did the floater end of last year, which was part of that refinancing. The rest you see we have plenty of line that we could use. Obviously, we also reserve the right to do an additional bond refinancing, which -- where we see very attractive conditions currently.
Holger Frisch: And one last question on the WAULT of about 5.3 years now. Could you break down the WAULT for the different types of use like office and retail and so on?
Marcel Kucher: I don't have it here by-heart. We can provide it later on, but my gut feeling is, given that retail is only 20% by now of our portfolio, it should not have a significant difference. The large part of our retail, our co-op stores and Globus, of course, now -- and hence, you've seen here just the extension, hence, should be roughly in line. But if you want a precise number, I would have to check. I don't have that on by heart. Yes. Matteo and then Andrea.
Matteo Villani: A quick question on Jelmoli at the Capital Markets Day in Geneva this spring, I thought the beginning of going live again is in 2028 at the beginning. Now you said at mid of 2028. Why is there this delay?
Marcel Kucher: With what I mentioned before, where we will probably do a little bit more than we originally envisioned, because we believe this is beneficial to the building and the rental income that we can generate, we need to build that. And hence, the current plan, and we are very confident now that we can stick to this plan given that construction is now in full swing. And in particular, the building is empty now. So if you walk through the building currently, you see all the walls are dismantled. You see all the structural elements. So we are really very much focused now to rebuild the building, as I mentioned before.
Tommaso Operto: Since the mic is here. Tommaso Operto, UBS. Question on reversion. Since inflation is as low as it is, focus will be on reversion. So could you update what the reversion potential is for the portfolio in general and then specifically also for this new couple of acquisitions that you made?
Marcel Kucher: Yes. On average, I think the simple answer is it's about 10% of the reversionary potential. We do have about 5 years WAULT, as we've seen before. We have probably an implicit WAULT, which is a little bit longer given that some of our tenants still have options where they can extend at the same conditions. So taking the 10% and divide it by maybe 6 or something like that, that yields you around 1.4%, which we have now consistently been delivering in terms of real conversion. We're working hard on that. We're doing all sorts of things in terms of how we do community management, what services we provide to our tenants. If you look here in the Prime Tower, if you've been to the elevator, you see all sorts of services on the screens that we have. We have cars here, where pretty much the entire Prime Tower campus takes part of it. We have bikes and all that make tenants more sticky, because they really like it, and that is helpful for us going forward. So we try, obviously, to exceed expectations that Wuest & Partner has. And you see that in the revaluation. I mentioned before, roughly 50% comes from the underlying higher contracts that we could close. And we expect and we work hard on that. You will continue to see that going forward.
Tommaso Operto: And for the new properties?
Marcel Kucher: For the new properties, some of them come with a long contract. I mentioned Lausanne with a long contract. In terms of the Place des Alpes, which is the one that is -- that we are reletting. We are very positive that it's going to be in the mid-double-digit numbers in terms of what we undersigned and where we will end up now in terms of reversionary potential. We see that this attractive space with a beautiful building, old one and new one with an unobstructed view to Lake to Geneva is really attractive in the market, and hence, we're positive on the revaluation that we get there.
Tommaso Operto: So, a double-digit percent increase? Or what's the double-digit, Okay.
Marcel Kucher: Yes.
Tommaso Operto: And then on the CFO transition, let's expect that you wouldn't be the only one.
Marcel Kucher: Okay. Key message is, I will not do a double job. So that is the key message. We want to take this very seriously. We want to do a thorough evaluation if you talk to headhunters, that takes 4 to 6 months, and that time spend will be, do roughly say, in March, and we're working towards that. Andrea? Just behind you.
Andrea Martel: Andrea Martel, NZZ. I have a question about Fraumunsterpost. Are you just redoing the offices on top, because Lidl hasn't open.
Marcel Kucher: Lidl is still open. Lidl remains open and is open, but we're doing the entire office part. And the key element here is on the heating system, on the cooling system, et cetera, where we will go full green. Insulation is part of it with the windows. Obviously, this is a protected building. And we want to transform it in a way so that it's fit for the next 50 years plus. We've seen very good demand so far and really top-tier tenants, where we're in the progress -- in the process here of hopefully signing them up so that they will move in when it's ready in a 1.5 years roughly.
Tommaso Operto: It's a recurring question that always comes up, but is there any update on Mullerstrasse for Google tenant?
Marcel Kucher: Look, Google made an announcement. It was quite prominent in the newspaper. I think it was October last year, where they kind of committed to Zurich. All we hear is that they're now further reducing the workforce. On the contrary, it seems, at least from the outside, that they're transferring some of the development on their AI engine here to Zurich. In that announcement, it was also said by Google that Mullerstrasse is a key element of their strategy. Hence, we have no indications whatsoever from Google that they don't want to keep it, and that's the current update.
Tommaso Operto: Just one follow-up on the double-digit percent increase for Place des Alpes you mentioned before. That's including CapEx or just as it is?
Marcel Kucher: The CapEx is not going to be huge. Because the majority of the CapEx that we're going to do that is tenant fit out. Obviously, you need to do some CapEx if we separate it and have a multi-tenant, but that should also translate in higher per square meter prices. So it's roughly the same. But we are not going to -- we're not going to invest there hundreds of million. This building is in a very good shape. It has a modern heating system. It has a modern insulation system. And the CapEx that needs to be done is mostly around fit out, which will be done in conjunction with the tenure. All right. Then let's switch to virtual. We can come back here to the room if there are more questions. Are there any questions on the web -- from the website?
Operator: [Operator Instructions] Our first question comes from Ana Escalante with Morgan Stanley.
Ana Taborga: I have a couple of questions, please. The first one is on your vacancy guidance. So as you said, you are -- you ended 2025 in record lows. And you said that you see further potential for declines. How low do you think it is possible to go from here?
Marcel Kucher: Look, I mean, as we mentioned here, we have an underlying vacancy of about 3.2%, excluding the one which we call strategic vacancy, which we do because we are renovating building. We do see a potential that we'll bring this down further. Maybe even slightly below 3%. But obviously, it has a natural end at one point in time, you do have some turnover. You want some turnover in fact, because of the reversionary potential that we do have. But for the time being, over the next couple of, say, years, probably at least 1 to 2 years, we still see further potential to reduce our vacancy and we're working on that.
Ana Taborga: And then my second question is on acquisitions, both for the own portfolio and for the asset management business. So for the own portfolio, if we look at the guidance that you gave in the Capital Markets Day, it looks like you have already fulfilled all the acquisitions pipeline. So any further updates on that? Will you try to recycle further capital into acquisitions? Or do you think you are pretty much done and maybe just the occasional strategic opportunistic acquisition? And for the asset management business, would you consider growing outside of Switzerland, given the amount of capital that you've raised, would you consider doing a bit more in Germany, for example, that you're already there?
Marcel Kucher: All right. In terms of acquisitions, I mean, we are already -- we are always screening the market. And I think that is very important because we are active managers. Hence, we have to actively manage our portfolio. Hence, we are always in the market. There is no need on that to be on the selling side, because as we mentioned now a couple of times, we have been able to move our portfolio in the right quadrant, so in the place where we want to be, where we see the highest opportunities in terms of like-for-like growth and value accretion. Having said that, we do have a number of properties which are currently under development where we see residential as the best use. So, we will sell those and that will free up capital that we can invest then in new acquisitions. So it's not a static portfolio, but we work with it on a daily basis and want to realize opportunities when we see them. And in terms of going abroad, we are in Germany, yes, we have roughly CHF 1 billion in Germany. We are constantly evaluating the market there. See, a little bit of a light on the horizon currently over the last compared to the last couple of years, but we'll have to further evaluate on that, and we'll provide you with an update. If you see more opportunity than to say organic growth going forward.
Operator: Our next question comes from Steven Boumans with ABN AMRO ODDO BHF.
Steven Boumans: I have two. So one, could you please quantify in how many acquisition processes you are for your own portfolio today and how that compares to around this time last year?
Marcel Kucher: Sorry, I can't. But in -- we are in -- let's put it like that, in an attractive number of -- an attractive value number, we are in -- we are evaluating, but we always do that. But I cannot provide you with more detail, I'm sorry.
Steven Boumans: Okay. Well, and to try and maybe your question. What percentage of non-recurring asset management fees do you assume for '26 and '27?
Marcel Kucher: Our focus here is that we stay at the minimum of this 2/3 that we currently have as recurring fees. Hence, about 1/3 could potentially be non-recurring fees given the opportunities that we see within the market currently that we see that as a realistic that we stay below that 1/3. The 1/3 we realized last year was in a market where, as Anastasius mentioned, we did record -- we did attract record new money, and we were still able to stay at the 66%. Hence, that is the clear focus. We mentioned right in the beginning, the stability, coupled with the plus, with the growth. And that's a key element, obviously, in that, that we keep that ratio.
Operator: We currently have no further questions from the webinar.
Marcel Kucher: Wonderful. Then we have an additional question here from Ken in the room.
Ken Kagerer: Thank you. It's again for Anastasius. Would you be willing to share with us the EBITDA margin of the German business?
Marcel Kucher: We don't disclose. I think the -- what I can disclose, it's profitable. We're not losing money.
Ken Kagerer: On EBITDA level or what level do you think?
Marcel Kucher: On any level that you want to mention. I think that's an element that we worked on over the last couple of years. It's not yet at the same EBITDA margin that we have here in Switzerland, but it's now at an attractive level, which is sustainable.
Ken Kagerer: When you say not yet, do you expect it to ever reach those levels and on what basis?
Marcel Kucher: Let's do Germany in a different part. We'll plan another Capital Markets Day, and then we'll provide some additional elements on that. But yes, what we currently see is that Germany is recovering slightly, and we want to be there to take opportunity if that materializes. Wonderful. And thank you so much for your interest for coming here. It's been a great pleasure to host you here. We see now the fog is a little bit lighter. So you have a little bit more of the view. And with now all the participants that are here in the room invite you one floor up, to 35th floor, where we have some light refreshments prepared and continue the good discussions. For everyone on the webcast, thank you so much for your interest in Swiss Prime Site and wish you a wonderful day. Thanks.